Operator: Good morning, ladies and gentlemen and welcome to the M/I Homes Fourth Quarter and Year End Earnings Conference Call. [Operator Instructions] This call is being recorded on Wednesday, January 29 of 2025. I would now like to turn the conference over to Phil Creek. Please go ahead.
Phil Creek: Thank you for joining us. Joining me on the call today is Bob Schottenstein, our CEO and President; and Derek Klutch, President of our mortgage company. First, to address regulation for our disclosure, we encourage you to ask any questions regarding issues that you consider material during this call, because we are prohibited from discussing significant non-public items with you directly. And as to forward-looking statements, want to remind everyone that the cautionary language about forward-looking statements contained in today’s press release also applies to any comments made during this call. Also be advised that the company undertakes no obligation to update any forward-looking statements made during this call. With that, I’ll turn the call over to Bob.
Bob Schottenstein: Thanks, Phil. Good morning, and thank you for joining us today. We had an outstanding year in 2024 highlighted by record homes delivered, record revenue, record income and very strong returns. We are particularly proud of our performance given the changing economic conditions and demand challenges we faced, particularly throughout the latter part of the year. As everyone knows, mortgage rates began rising during the third and fourth quarters. At that time, we implemented mortgage rate buy-downs to generate traffic and incent sales. Demand has become a bit more choppy during the fourth quarter, and the need for such rate buy-downs became an even more important part of our business strategy. I will more fully discuss the impact of all of this in a few moments. First, I will review the highlights of our 2024 performance. For the full year, homes delivered increased 12% to a record 9,055 homes, generating a record $4.5 billion in revenue, a 12% increase over 2023. Gross margins for the year were 26.6% and 130 basis points better than 2023. Our pre-tax margin for the full year improved to 16.3% compared to 15.1% a year ago, thus resulting in record pre-tax income of $734 million, 21% better than 2023, and a return on equity of 21%. For the full year, we sold 8,584 homes, 8% better than 2023. As Phil will review in more detail, our sales decelerated during the fourth quarter. Though some of the drop-off is attributable to seasonal factors, demand became choppier and more challenging in a number of our markets during the fourth quarter. And with rates rising, the cost of rate buy-downs became more expensive. The impact of this cost is reflected in our fourth quarter, gross margin of 24.6%, down 50 basis points from a year ago and sequentially down approximately 250 basis points from the third quarter. Nearly 50% of our buyers are now using the rate buy-down. As we begin 2025 and approach the start of the selling season, demand remains somewhat of a challenge. Accordingly, we will continue using rate buy-downs to drive traffic and incent sales. It’s important to note that the quality of buyers that we’re seeing continues to be very strong with average credit scores approaching 750 in average down payments of nearly $90,000 or 18%. We ended 2024 with 220 communities. Our average community count increased by 7% over 2023. We are currently estimating a 5% average community count growth for 2025. Now I will provide some additional comments on our markets. Our division income contributions in 2024 were led by Dallas, Columbus, Tampa, Orlando, Chicago and Raleigh. Our new contracts for the fourth quarter in our Southern region, which consists of 11 of our 17 markets, increased 8% and 1% in our Northern region which consists of the 6 of the remaining 17 markets. For the year, new contracts increased 4% in our Southern region and 12% in our Northern region. Our deliveries increased 14% and over last year’s fourth quarter in the Southern region, representing 56% of total deliveries. Northern region contributed an increase of 25% over last year’s fourth quarter deliveries. For the year, homes delivered increased 5% in the Southern region and increased 22% in the Northern region. Our owned and controlled lot position in the Southern region increased by 16% compared to a year ago and increased by 12% in the Northern region compared to 2023. We have an excellent land position company-wide. We own approximately 23,800 lots, which is just under a 3-year supply. Of this total, 27% of our owned lots are in the Northern region with the balance or 73% located in the Southern region. On top of the owned lots, we control via option contracts and additional 28,400 lots. So in total, we own and control over 52,000 single-family lots, up 14% from a year ago, and this equates to about a 5.5-year supply. Importantly, about 54% of our lots are controlled pursuant to option contracts which gives us significant flexibility to react to changes in demand or individual market conditions. With respect to our balance sheet, we ended the year with an all-time record $2.9 billion of equity, which equates to a book value per share of $109. We also ended the year with 0 borrowings under our $650 million unsecured revolving credit facility and over $800 million of cash. This resulted in a debt-to-capital ratio of 19%, down from 22% a year ago and a net debt-to-capital ratio of negative 5%. As I conclude, let me just state that we’re in the best financial condition in our company’s history. We plan to continue addressing homebuyer affordability and demand through interest rate buy-downs as we did throughout the latter half of 2024. We will likely experience some compression in our gross margins in 2025 when compared to annual gross margins in 2024. Despite the challenging and somewhat choppy market conditions, we believe that the homebuilding industry will continue to benefit over the long-term from a continued undersupply of homes, positive consumer demographics and growing household formations. We feel very good about our business and are well positioned as we begin 2025. Now, Phil will provide more specifics on our financial results.
Phil Creek: Thanks Bob. Our new contracts were up 22% in October, up 24% in November and down 9% in December, or 11% improvement in the quarter compared to last year. Our sales pace was 2.7% in the fourth quarter compared to 2.5% last year and our cancellation rate for the fourth quarter was 14%. As to our buyer profile, 50% of our fourth quarter sales were the first-time buyers compared to 53% a year ago. In addition, 68% of our fourth quarter sales were inventory homes compared to 62% in last year’s fourth quarter. Our community count was 220 at the end of the year compared to 213 at the end of 2023. During the quarter, we opened 15 new communities, while closing 12. For the year, we opened 72 new communities. We currently estimate that our average 2025 community count will be about 5% higher than 2024. We delivered 2,402 homes in the fourth quarter, delivering 76% of our backlog compared to 59% a year ago. And about 30% of our fourth quarter deliveries came from inventory homes that were sold and delivered in the quarter. At year-end, we had 4,700 homes in the field versus 4,500 homes in the field a year ago. And revenue increased 24% in the fourth quarter to $1.2 billion. Our average closing price for the fourth quarter was $490,000, a 4% increase when compared to last year’s 471. Our gross margin was 24.6% for the quarter, down 50 basis points year-over-year and down 250 basis points from our third quarter. This decrease is primarily due to mortgage interest rate buy-down incentives. Our SG&A expenses increased by 16% in the fourth quarter due primarily to higher incentive compensation, due to our record results and also due to higher community count. As a percent of revenue, our SG&A expenses for the quarter declined 80 basis points to 11.0% when compared to last year’s fourth quarter. Our pre-tax income percent for the quarter was 14.2%, the same as last year. And for the full year, our pre-tax income percentage was 16.3% versus 15.1% last year. Our return on equity was 21%. During the fourth quarter, we generated $183 million of EBITDA and for the full year, we generated $767 million of EBITDA. Our effective tax rate was 22% in the fourth quarter, compared to 24% in last year’s fourth quarter, and our annual effective rate for 2024 was 23%, and we expect 2025’s effective tax rate to be around 23%. Our earnings per diluted share for the quarter increased 29% to $4.71 per share from $3.66 per share in last year’s fourth quarter and increased 22% for the year to $19.71 per share from $16.21 per share last year. During the fourth quarter, we spent $50 million repurchasing our shares and for the year, spent $175 million. We currently have $107 million available under our repurchase authorization. And in the last 3 years, we have repurchased 12% of our outstanding shares. Now Derek Klutch will address our mortgage company results.
Derek Klutch: Thanks, Phil. In the fourth quarter, our mortgage and title operations achieved pre-tax income of $10 million, up $5.4 million from 2023, with revenues of $28.5 million, up 45% over last year. This was primarily the result of increased pricing margins, a higher average loan amount and more loans closed. For the year, pre-tax income was $49.7 million with revenue of $116.2 million. Loan-to-value on our first mortgages for the quarter was 82% in 2024, the same as 2023’s fourth quarter. We continue to see an increase in the use of government financing as 59% of the loans closed in the fourth quarter were conventional and 41% were FHA or VA compared to 66% and 34%, respectively, for 2023’s same period. Even with the increase in government financing, our borrower profile remains solid, with an average down payment of almost 18% and an average borrower credit score on mortgages originated by M/I Financial of 749 compared to 747 last year. Our average mortgage amount increased to $409,000 in 2024’s fourth quarter compared to $383,000 in 2023. Loans originated in the quarter increased 34% and from $1,387 to $1,862 and the volume of loans sold increased by 24%. Our mortgage operation captured 91% of our business in the fourth quarter, an increase from 88% in 2023’s fourth quarter. Now I’ll turn the call back over to Phil.
Phil Creek: Thanks, Derek. As far as the balance sheet, we ended the fourth quarter with a cash balance of $822 million and no borrowings under our unsecured revolving credit facility. Our credit facility matures in late 2026 and our public debt with interest rates below 5% matures in 2028 and 2030. Total homebuilding inventory at year-end was $3.1 billion, up 11% from the prior year and during 2024, we spent $473 million on land purchases and $646 million on land development for a total land spend of $1.1 billion. This was up from $850 million last year. And at December 31, ‘24, we had $754 million of raw land and land under development and $886 million of finished unsold lots. We own 9,300 unsold finished lots. In 2024, we purchased 9,000 lots, of which 75% were raw compared to purchasing 7,900 lots last year. We have a strong land position at year end, controlling 52,000 lots. We own 24,000 lots about a 3-year supply and of the lots controlled 46% are owned. At the end of the year, we had 706 completed inventory homes, about 3 per community, and 2,500 total inventory homes. And of the total inventory, 1,034 are in the Northern region and 1,468 are in the Southern region. Last year end, we had 592 completed inventory homes and 2,023 total inventory homes. This completes our presentation. We’ll now open the call for any questions or comments.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Alan Ratner from Zelman & Associates. Your line is open.
Alan Ratner: Hey, guys. Good morning.
Bob Schottenstein: Good morning, Alan.
Alan Ratner: Bob, first of all, big congrats on the championship. I’m sure you’re still riding high from that.
Bob Schottenstein: I am. I am as excited about that as I am our business.
Alan Ratner: There you go. Well, I appreciate the commentary and certainly the choppiness in the quarter, I think, is consistent with what we’ve heard from others. My first question, I’d love to drill in specifically on Texas and Florida. I think those are probably the areas that are most in focus and under some concern among investors, it’s about, I think, 40% or so of your business. Can you talk a little bit about the trends you are seeing there just across the board? I mean incentives, inventory levels and just kind of how you’re approaching that market given what seems to be a softening supply/demand backdrop?
Bob Schottenstein: Yes, great question. We feel better about Texas than we do Florida. We feel good about both. I will say that Tampa, in particular, appears to be a little bit more challenged than Orlando, Sarasota, and of course, we are relatively new in Fort Myers, Naples. So I don’t – our business levels there are not significant enough to draw any real conclusions. But clearly, the demand situation for the last probably 6 months has been more challenging in Tampa than the other Florida markets. Our Dallas operation continues to be very strong, and Houston is very strong as well, maybe a slight softening of demand, but nothing that we can’t comfortably manage. I think Austin is getting better. Austin was clearly the most challenged market over the last couple of years. After it came off, it’s sort of runaway highs. And I’m talking more about the macro market, but it was the same for us. And San Antonio, I’d say, is steady, not on fire, but steady. We’re expecting a good year in Texas, and we’re expecting a good year in most of Florida, Tampa is the one that we’re watching the most closely. Clearly, we are using rate buy-downs throughout the 8 markets we have. It is, as you say, a big part of our business. We’re confident that we have the right strategy. We’re not doing anything a whole lot more now than we’ve been doing the last number of months. There maybe a few subdivisions where we’re putting a little more on the gas than in others. But in general, we think it’s very manageable. I don’t think it’s serious. And it’s not – inventory levels are up, but I don’t think it’s a situation to cause great concern.
Alan Ratner: Great. And I appreciate the around the horn there and the commentary. It’s helpful. Two additional questions, if I could squeeze them in. First of all, you guys, along with others, have pivoted towards more of a spec model in recent years. Spec count, if I got those numbers correctly, it looks like your specs are up about 20% year-over-year, completed up 10% or 15%. Just given the choppiness in demand, are you altering that strategy? Have you kind of adjusted your spec start pace at all or do you still feel like the current trajectory you’re on makes sense given the business?
Bob Schottenstein: We think it makes sense. Our goal this year is to maintain the pace that we’ve had across our communities, and we’re going to grow community count this year. We have slightly with each passing quarter over the last couple of years, increased our spec level, increased our spec strategy and I think right now, with probably a few minor variations. It’s about where it needs to be. As an example, in Raleigh, we are virtually 100% spec. I think that’s the only market where we’re that high. But otherwise, it’s pretty consistent across the other 17 markets. And it’s a very important part of our business. As Phil outlined, it’s close to two-thirds of our business right now and it will likely remain. So it may move up a little, it may move down a little, but that’s about where we think it needs to be at this point. The 2B builds are a big part of our business, too. And I didn’t mention this in my comments, but our Smart Series, which for us is our most affordable product line, primarily catering to first-time buyers. Some of the town homes, most are single-family detached. That’s about 50% to 55% of our business. It is settled in there and remained at about that level. But the other way to look at that is about 40% to 45% of our business is 2B builds. And a meaningful portion of that is move up product. Phil, did you want to add something?
Phil Creek: Yes. One thing, I know you know this. As far as the cost effectiveness of mortgage rate buy-downs lot easier to do those type of things within a 30, 45, 60-day window than it is to try to get longer than that. So again, putting a few more specs out there that way you can offer that more deep discount type financing. But again, you got to close than 30 or 45 days.
Bob Schottenstein: And I don’t think I’m saying anything out of school. But I recently had a conversation with another builder that asked me if we were offering long-term rate locks on 2B builds. And on the one hand, it’s no one’s business other than our buyers. But on the other hand, all of the mortgage rate buy-downs that we have been using to generate traffic have been designed to assist the sale of homes that could close roughly within 60 days. So you need to have homes in the field specs ready to be delivered.
Phil Creek: And we are – we said we opened about 75 new stores last year. We did plan on opening more stores this year. Every subdivision is a little bit different. We are doing a few more attached townhouses. The majority of our specs tends to be on the Smart Series more affordable, and that area kind of drives a few more specs. So we do see our spec levels going up some, but again, that’s something we control very closely, Alan.
Alan Ratner: Great. I appreciate all of those comments there and everything makes sense. Last one, if I could squeeze in one more. I know you don’t give gross margin guidance, but you alluded to margins being under some pressure given the rate buy-downs and the incentives you’re offering. I was just hoping maybe you can give a little bit of clarity on the margin pullback you saw this quarter, about 250 basis points sequentially?
Bob Schottenstein: Yes, I think it’s a great question, and it’s the big unknown in our industry. What’s going to happen to rates?
Alan Ratner: Right.
Bob Schottenstein: Based on what I know today, or I believe today, and I think this is widely shared by a lot of our competitors, it’s critically important to continue using rate buy-downs to generate traffic to promote sales until it isn’t. And we don’t know when the isn’t going to come. Having said all that, the cost does move week-to-week, sometimes day-to-day. And as the 10-year moderate somewhat, the cost come down – cost comes down, less impact on margins. In the third quarter, about one-third of our sales utilized the rate buy-down. It jumped up to 50% in the fourth quarter. My guess is going to sort of stay there. I think the fourth quarter is probably reflective if we had to guess. One of the reasons we don’t give guidance is we don’t know. It’s an interesting situation 5 years ago, if our quarterly margins were 24.6% and the question would have been, do you think they can get much higher? Those are great margins. But on the other hand, when you’re coming off 26%, 27%, and in a number of our divisions, we have margins approaching 30% and those – I’ve said during previous calls, either your question or someone else is that these are very high margins, almost unprecedented, probably not long-term sustainable. But I will also say this, a 24% to 25% margin business is an excellent business that can generate very solid returns. And we tend to overreact, both on good news and bad news. I think that – I think things are starting to settle in a little bit. We shall see. But we feel really good about our business. I know the demand is a bit choppy. There’s still – there’s tremendous uncertainty coming from every – almost every day, whether it’s immigration or tariffs or inflation, or interest rates or you name it, it’s the word cloud of the day. And – but against that backdrop, I do think that home building and home – new home building and new home construction has very, very solid foundation of underlying metrics. And while there may be some noise quarter-to-quarter, we’re poised to grow this company in 2025, in 2026 and 2027, and we believe we can.
Phil Creek: And just one other comment, Alan, on the interest rate buy-downs and so forth. I mean, really, every community and every customer is a little different. We try to be very targeted. Some customers, especially on the more affordable product, need help with closing costs to get it in the house. So therefore, we have a certain amount priced in for financing and closing costs. And those people may not really be able to qualify or get the cheaper financing. But again, we’re able to help them with closing costs and get them in the house. So we try to be very targeted the mortgage rate buy-downs in general, are fairly expensive, again, depends on how many specs you have and those type of things. But we try to be very targeted and just use that where we need to. But of course, it’s really hard to predict what we’re going to have to do this year.
Alan Ratner: Makes sense. Appreciate all the color.
Bob Schottenstein: One last point of optimism, selling season is really just getting started. And some selling seasons are better than others. And last year’s was quite good. We are hopeful that this will be as well, but we’ll know when we know. We are ready to go. We are ready to react.
Alan Ratner: Good luck.
Bob Schottenstein: Thanks, Alan.
Operator: Our next question comes from the line of Ken Zener from Seaport Research Partners. Your line is open.
Ken Zener: Good morning, everybody.
Bob Schottenstein: Good morning, Ken.
Ken Zener: Sorry if I missed it, what was the number of homes in the field if you have that?
Bob Schottenstein: I think it was 4,700, Phil, you gave...
Phil Creek: Homes in the field. Yes, it’s about 3% up from last year, 4,700 versus 4,500.
Ken Zener: Excellent. Wonder if you might be able to provide a little context around, I believe you said 31% of closings was intra-quarter order closing. Can you talk to the margin spread you guys are seeing where between the – those units and the backlog given the propensity of mortgage buy-downs to be affecting those units?
Bob Schottenstein: That’s a hard one. Some of our markets, our spec sale margins are either at or equal to our 2B build margins, which I know sounds a little counterintuitive, but that is the case. That has not always been the case. Typically, spec sale margins are 100 to 200 basis points less, at least we’ve seen over the years than 2B builds. I’d say that the average is probably somewhere around 100 to 150 basis points less across the whole system on specs. But a number of our markets, including sizable ones, our 2B build margins and our spec margins are either the same or in some cases, the spec margins are a little higher. But if you put it through the blender and take it out, it’s slightly lower, maybe 100 to 150 basis points. And of course, that’s reflected in our full year margins because we had a pretty aggressive spec strategy throughout the year. And frankly, the specs are – in terms of strategy, the specs are critically, critically important right now because as I have just mentioned during the last question, Alan Ratner’s question, the specs that can close within 60 days, and we need to have a good number of them ready to go in order to take advantage of attractive rate buy-downs.
Ken Zener: Right. And it’s – if you don’t mind continuing on this topic a little bit, because your Smart Series, which is – your kind of – even though you have an ASP numbers finally bifurcated, right, between the Smart Series and your other units. Is that a function of you think that the Smart Series being more affordable, attracting more demand, so that can actually give you somewhat better net pricing than the higher price point perhaps? Thank you very much.
Bob Schottenstein: I don’t think so. A lot of it depends – this is not the answer you are looking for, so I apologize, but I have got to tell you the one…
Ken Zener: Not at all, don’t worry.
Bob Schottenstein: It’s community specific. Some of our Smart Series communities have lower than average margins. Many of them have right on the button margins, and some have premium margins, and a lot of that hunts back to the quality of the community. We have some – a number of move-up product communities throughout a number of our markets, where our margins are very, very strong and then some where they are slightly below. It’s really hard to draw a conclusion other than strength of a particular community. And look, we feel really – we don’t want to see our margins drop. We feel really good about our margins when compared to the industry. They have held up high. I am not going to say we have the highest returns, but we are up there. We are generally quarter-in, quarter-out in the upper tier, bringing over 16% to the bottom line this past year, I think compared very favorably with the public builders. And I think that as we move through this year, we will continue to perform at a competitively favorable level, because I think we have got really good communities. And even though we are going to be opening a very significant number of new communities this year with high hopes for them to perform well, a good number of our communities that we are operating out of now well over half, we have been running with for at least a year or so, and we have a good feel for how they are going to perform from both a sale and margin standpoint.
Phil Creek: One of the things we really like is not only a diversification of geography and markets we really like to have a product and price diversity. And as Bob said, in general, we have 40%, 50% of our business focused on the first-time buyer. And again, the average sale price tends to be more 400 or whatever, we still like to have those communities well located as best we can. We give people a reason to buy not just price. If you look at the last six quarters, our ASP and backlog has basically gone from 500 to 550. So, right now, we are kind of seeing our move-up product perform a little better than our entry level product. But again, that changes quarter-to-quarter sometime. We just like having that diversity in our business.
Bob Schottenstein: Some of our – just to give a little bit more color. Some of our strongest margins in the company are in Dallas. There was a question about Texas, Orlando. There was a question about Florida, Charlotte, Columbus, Chicago. We have had a number of divisions that are running very strong margins even in this climate.
Ken Zener: Thank you very much for the response.
Bob Schottenstein: Appreciate the question.
Operator: Our next question comes from the line of Buck Horne from Raymond James. Your line is open.
Buck Horne: Hey. Thanks. Good morning guys and you had some strong results. I wonder if you just go back to the Tampa market in particular. Just curious if you saw in particular, any noticeable demand shifts coming out of the hurricanes that kind of I guess transpired there right around that October timeframe, or did the hurricane shift demand and/or are you seeing any impact due to just rising insurance costs related to just Florida’s cost of – just the hardening of the insurance market and kind of how are you helping your buyers deal with that?
Bob Schottenstein: Do you live in Tampa, Buck, I think you might.
Buck Horne: I do. I do live in Tampa. So, we know the market well.
Bob Schottenstein: Yes. I suspect you do. You probably should answer your own question. Look, I think things started…
Buck Horne: I would like to hear what you think…
Bob Schottenstein: Right. I think things start – Tampa has always been one of our best performing markets. For a long time, we have been a top five builder in Tampa for over – for many, many years. We have a very strong team there and we have a lot of confidence in that team, excellent land position. I think things started to slowdown a little bit before the hurricane. The hurricane didn’t help, didn’t help at all. But just channel checks are telling us that we are not alone that, that market has slowed, maybe more so than – clearly more so than Orlando, noticeably. Sarasota seems to be a little better. That would suggest – I mean I know the hurricane hit different areas a little different as you know very well. But I think it’s – I think there is a softening there. And it’s hard to really pinpoint the exact reason. So, I wish I could give you a better answer. We are taking a lot of steps now to try to address it. We are doing a little bit more there than we are doing in some of our markets to generate traffic and sales.
Buck Horne: Yes. Well, we hope it’s temporary. We have noticed certainly that the rental demand in the Tampa market has certainly picked up quite a bit post hurricane. So, maybe people are making temporary decisions, and it’s just a kind of a temporary phenomenon before they decide to make a home decision.
Bob Schottenstein: I think there is a lot of reasons to be bullish on Tampa. We got to get through this period. But to be bullish on Tampa, over the 1-year, 2- year, 3- year, 4- year, 5-year period.
Buck Horne: Acquire here, so very bullish on Tampa. And then secondly, I guess I was just wondering if you have any comments or thoughts around just industry-wide labor availability is kind of these new immigration rules and new immigration enforcement gets rolled out. Just any high-level thoughts or how you would brace for any potential labor availability impact?
Bob Schottenstein: Right now, we are okay. Right now, I believe our industry is okay. I was at the Harvard Joint Center for Housing meeting yesterday in Washington and surprised, surprised, that was a big topic with both manufacturers, suppliers, as well as the builders. And I think everyone is okay. But again, I hate to keep using the u word uncertainty. I think there is uncertainty surrounding that. There is interesting stories of more subcontractors becoming available, particularly on the land development side in certain markets. I think that’s more market-to-market. But – and we are seeing a little bit of that too, with more site contractors looking for work. We don’t have a labor problem right now. I hope that we are able to continue to say that. I don’t – I just don’t – I think that’s an unknown.
Buck Horne: Got it. Agreed. Very much agreed. And then just real quick, lastly, obviously you guys are still putting up very strong margins in context of the industry. Returns are very solid. Profitability looks good. Stock is obviously not reflecting that at these valuation levels. You are trading almost nearly maybe 1.1x forward book value at these levels. Any thoughts on ability or flexibility to accelerate repurchases or extend the buyback authorization to kind of take advantage of this disconnect?
Phil Creek: We continue looking at that and discussing that with our Board every quarter. As I have said before, we have bought back over 10% of the stock in the last couple of years. We did accelerate to $50 million a quarter starting in the second quarter of last year. The balance sheet is in very, very good shape. We did up land purchases a fair amount last year to get us positioned for future growth. We talked about we have 9,000 finished lots on the ground. So, we are really positioned well to grow. If we need to tap on the brakes, obviously we can do that. But as far as stock repurchases, that’s something we will try to come up with a consistent program, something we felt we needed to do. We have been doing that, but we will continue to look at what we do there based on the economy and our business, etcetera.
Bob Schottenstein: Yes. I mean knowing what we know today, it’s hard to see a change in our strategy going forward.
Buck Horne: Got it. Thanks guys. Congrats.
Bob Schottenstein: Thanks Buck.
Operator: [Operator Instructions] Our next question comes from the line of Jay McCanless from Wedbush. Your line is open.
Jay McCanless: Hey. Good morning guys. Thanks for taking my questions.
Bob Schottenstein: Good morning Jay.
Jay McCanless: So, I wanted to drill down – yes, good morning. I wanted to drill down a little more on gross margin, if I could. And thank you for the color, that ‘25 is probably a little softer than ‘24, but I guess if conditions stay the way they are right now, when might we see an inflection in the gross margin, or should we expect, at least for the next couple of quarters that it might go down sequentially from the levels you guys saw in the fourth quarter?
Bob Schottenstein: It’s a hard question to answer. I think the fourth quarter is sort of reflective of where things are. Again, depending upon rate movement and cost of buy-downs, that’s all going to have an impact, because so much of the action occurs within the quarter and it became, as I have said, I think we first launched the buy-downs either in July or August. I can’t remember the exact time. It was the beginning to the middle of the third quarter. And the cost, while the costs moved a bit, rates went a little down and they jumped back up again, the trend lines were all rising rates rather than declining though throughout the back half of the year, as you know. It just became more expensive. And not to be snarky, but not selling is not an option. So, we are going to do what we need to do. And I think things seem to be at least this week, leveling off, maybe even coming down a little bit in terms of cost. So, next week, who knows, there is certainly a lot of action in Washington right now, and all of that is having an impact on the bond market. Hopefully, inflation is under control. It appears to be. So, I think what we saw in the fourth quarter is likely reflective of what we will see on a go-forward basis could be a little better, maybe a little worse, although I don’t think so. So, we will just have to see. But we have settled in on a good pace per community, and our goal is to maintain that pace. And so I think the fourth quarter is a good barometer.
Jay McCanless: Okay. Thank you, Bob. The next question I…
Bob Schottenstein: I wish I knew with – Jay, I wish I knew with precision, but I don’t think anybody does.
Jay McCanless: No, that’s a great answer. Thank you. Very helpful. And I just wanted to talk for a minute about the – you had really strong 18% order growth in the South, but only 1% in the North. Maybe could you talk about that? Was it timing issues? We have heard some people talk about pretty heavy rainfall, colder weather up North. Anything we should know there to explain that discrepancy between the two segments.
Phil Creek: Well, Jay, it always depends on what comparable number you are looking at as far as how the fourth quarter was last year. If you look at last year, we only sold 1,600 houses. So, we had a pretty low comparable going in. As far as looking at the Southern region being up 18%, again, with the fourth quarter sales last year not being so good, people talk about Florida being difficult. But from a sales standpoint, our fourth quarter this year compared pretty favorably in Florida the last year. Certain markets in Texas also performed well. It was really just more of a weak fourth quarter last year than anything, Jay.
Jay McCanless: Got it. And then the last question I had, and Phil, correct me if I am wrong on this, but I think you said – actually, I got two more questions. I think you said 30% sold and closed during the fourth quarter on closings. I guess – okay, what do you guys think the upper end of that number could be? Could you potentially sell and close 40%? I mean I am trying to think of from a productive capacity standpoint, can you really pull off that many homes, or what is a manageable range for sold and closed in a given quarter for M/I?
Phil Creek: Jay, of course, the theoretical answer is that we want to close as many houses as we can. Good, completed houses at a good margin. I mean could that number be a 40% type number, the answer is yes, right now today, having about 2,500 houses in the field as far as specs. And again, we track what stage those specs are at, we talked about how many of them were finished, whatever, 600 or 700. But yes, it could get up to 40% or so. We have the financial wherewithal to obviously put specs out there, telling specs is different than 2B builds. We are trying very much to have the best margins we can on specs and not just throw them out there, lower margins. But yes, could it get higher than 30% to 40% or so, yes. Also from a mortgage rate cost buy-down, as we talked before and you know, it’s a lot more cost effective when you are trying to buy that rate down on somebody is closing in 45 days.
Jay McCanless: Got it. And then I guess the other question I had, it sounds like from a labor perspective, from a materials perspective, it seems like things are setting up well for the year. I guess could you talk about what you are seeing from land cost inflation? And also maybe what you are seeing from some competitors if they are still being as aggressive in the land market as they were maybe a quarter or two quarters ago?
Bob Schottenstein: First of all, I think on sticks and bricks, things are good, stable. In some cases, we may pick up a little. Suffice it to say, we are very focused on that, just like we are very focused on cycle time. 2024, we improved our cycle time by 11 days. I don’t think we will improve it by 11 days this year, but we might prove it by several. We haven’t talked about that during this call. But we don’t ignore those things. And we are really focused on cost of materials and sticks and bricks, trying to do everything we can to offset the margin pressures that mortgage rate buy-downs have brought about. That’s one thing. On the land side, I believe that land development costs, site work has stabilized for now. On land acquisition, I think it’s still pretty competitive. It’s not crazy, but I think it’s more competitive than not. Look, we are trying to buy prime locations. No, our strategy is not to go outside the core and buy pieces that maybe only one or two people want. That’s not how we operate. We try to stay within where we think the most action is. We have always been that way, and it’s worked, and we are going to continue to do that. And I think on some of those pieces, there can be a lot of competition. We don’t get every piece we seek to get, and we lose our fair share, but we get our fair share. So, I think there – I know you want a more specific answer. I think it’s more competitive than not for the prime locations, which is what our business is primarily focused on.
Phil Creek: Jay, we obviously track that very careful. We develop about 80% of our own stuff. Bob always talks about, we really try to focus on premier locations, but we want to be in the better school districts, near the better shop, near the better transportation. We think in great times, those communities so great, but in tough times, they still sell some. If you look at the average lot cost in the last year as far as raw land developed costs, depending on the market, in general, the finished lot cost has gone up 10% to 15%, our finished lot cost. Now, when you look at our average sale price in backlog, as I talked a little bit ago, I feel like in the last eight quarters, our average sale price in backlog has gone from 500 to 550. You always market price. We try to be very focused on pricing. Don’t get too far out, locking prices in and those type of things. But I definitely agree. I mean premier, well-located land has continued to go up. We need to make sure we get paid for that. We focus every day, not only on margin, but on sales pace to make sure we are getting stuff through the pipe, but also getting paid for what we are doing and the risk we are taking. So, again, we try to manage that best we can. We are hoping this year to get a little break on sticks and bricks. We are focused very hard on that, as Bob said, to try to offset some of these other margin pressures, but there is definitely challenges out there.
Jay McCanless: That’s great. Thank you, Phil. And just since you opened the door on pace, I guess are you guys expecting to run at roughly same level of monthly absorption in ‘25 that we saw in ‘24?
Phil Creek: We would like to have a little better pace. We are sure worked on that. But again, that becomes kind of a factor of what do you want to do price wise and what are you going to do margin wise, we are focused on trying to improve pace a little bit also.
Bob Schottenstein: But also hopefully maintain where we are. With growing community count, our goal is to grow the company. We have got base growth goals and we have also have stretched growth goals and a lot of those are dependent upon worst case maintaining current pace.
Jay McCanless: That’s great. Thanks guys. Appreciate it.
Bob Schottenstein: Thank you.
Phil Creek: Thanks Jay.
Operator: There are no questions at this time. I would like to turn the conference back to Mr. Phil Creek. Please go ahead.
Phil Creek: Thanks very much for joining us today, and we will talk to you next quarter.
Operator: Thank you. This concludes today’s conference. Thank you for participating. You may now disconnect.